Operator: Good morning and welcome to the Invitation Homes Fourth Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Greg Van Winkle, Senior Director of Investor Relations. Please go ahead.
Greg Van Winkle: Thank you. Good morning and thank you for joining us for our fourth quarter and full year 2017 earnings conference call. On today's call from Invitation Homes are Fred Tuomi, Chief Executive Officer; Ernie Freedman, Chief Financial Officer; Charles Young, Chief Operating Officer; and Dallas Tanner, Chief Investment Officer. I'd like to point everyone to our fourth quarter and full-year 2017 earnings press release and supplemental information, which we may reference on today's call. This document can be found on the Investor Relations section of our website at www.invh.com. As previously announced, Invitation Homes completed its merger with Starwood Waypoint Homes on November 16, 2017. Information presented for the fourth quarter and full-year 2017 includes the impact of the merger. Additionally, in order to provide consistent comparisons with results reported in the first three quarters of 2017, we present same-store results independently for each of the Invitation Homes same-store portfolio and the legacy Starwood Waypoint same-store portfolio. In each case, metrics have been defined consistently with historical methodologies for each of the two companies. Beginning in 2018, in order to provide the most relevant information about our operations as a combined company, we have consolidated the two same store portfolios into one. Finally, I'd like to inform you that certain statements made during the call may include forward-looking statements relating to the future performance of our business, financial results, liquidity and capital resources and other non-historical statements, which are subject to risks and uncertainties that could cause actual outcomes or results to differ materially from those indicated in any such statements. We describe some of these risk and uncertainties in our 2016 Annual Report on Form 10-K, our merger proxy filed on October 16, 2017 and other filings we make with the SEC from time-to-time. Invitation Homes does not update forward-looking statements and expressly disclaims any obligation to do so. During this call, we may also discuss certain non-GAAP financial measures. You can find additional information regarding these non-GAAP measures, including reconciliations of these measures with the most comparable GAAP measures in our earnings release and supplemental information, which are available on the Investor Relations section of our website. I'll now turn the call over to our President and Chief Executive Officer, Fred Tuomi.
Frederick Tuomi: Thank you, Greg, and good morning, everyone. We're excited to report today for the first time as one combined company the new Invitation Homes. I'm pleased to report we closed out 2017, a transformational year, with even stronger results than expected, and our merger integration is off to a great start. What a year it has been for Invitation Homes and Starwood Waypoint. Our teams produced great operating results, with same-store NOI increasing approximately 7% in 2017 for the pro forma combined company and our core NOI margin expanding to approximately 65%. Same-store revenue growth remained strong at almost 5% in 2017 while turnover was steady at approximately 35%, a testament to the value we believe residents continue to find in our first-class service in high quality homes and highly desirable locations. Home prices in our markets appreciated over 6% in 2017, further enhancing the embedded value of our real estate. In addition to same-store NOI growth consistently among the best in the entire REIT sector, Invitation Homes and Starwood Waypoint's accomplishments in 2017 include the following: the acquisition of over 5,700 homes and sale of almost 2,800 homes, further improving our already high-quality and well-positioned portfolio of homes; the continued revitalization of communities and support of local vendors through the renovation of over 3,500 homes and over $200 million of home maintenance on behalf of our residents; over $8.5 billion of capital raised, including the second largest REIT IPO to date and the industry's first agency financing with Fannie Mae, allowing us to push out maturities, reduce our borrowing cost and grow our unencumbered asset pool; and a transformational merger, creating the preeminent leader in the single-family rental space with $21 billion of enterprise value at over 80,000 homes. I'd like to thank all of our associates across the country for these many accomplishments and their continued dedication to earning the loyalty of our residents. Looking ahead, we expect another year of strong results in 2018. Supply and demand fundamentals remain favorable in our markets, led by approximately 70% exposure to the Western United States and the State of Florida. Leading real estate economists expect job growth in Invitation Homes markets to be over 50% higher than the national average in 2018, resulting in expected household formation growth of 1.9% compared to the national average of 1%. The fact is there's a shortage of housing to absorb this demand with housing permits in our markets less than 1% of existing stock. Furthermore, the leading edge of the millennial generation is just beginning to reach the age where the needs of their lifestyle and their life stage align with single-family homes in high-quality neighborhoods. We expect consumer preference, economics and the value provided through our high quality products and service to lead many of these new single-family home consumers to Invitation Homes. The bottom line is it's a very good time to be invested in single-family homes for rent. In addition to these strong macro tailwinds, we're excited to begin realizing the benefits of our merger for both investors and our residents. In line with our initial estimate, we have identified $45 million to $50 million of annualized run rate cost synergies and believe there could be additional upside as we implement best practices across the organization. After closing the merger last November, our teams immediately got to work executing an integration plan designed to deliver these synergies, and we are on track with this plan. Current and prospective residents experienced a seamless transition and are already enjoy benefits, including a new and improved resident website and the rollout of further enhancements to our unique ProCare service model. At our corporate and field offices, the go-forward leadership teams have been identified and are in place, and all key decisions on strategy and operating methodologies have been made. A plan is in place for a unified platform and operating strategy to be rolled out across our markets over the next few quarters. This strategy combines each company's strengths into one highly efficient, customer-centric operating platform, leveraging our deep talent and advanced technologies, including the ProCare service model, Smart Home technology and our proprietary [Atlas] property management system. As we execute our plan, we believe our combined resources will allow us to enable us to provide even higher-quality service and greater choice to our residents, making an even larger contribution to economic growth, job creation and the vitality of our local communities which we serve. In light of a strong fundamental backdrop, in 2018, we expect same-store core revenue growth between 4% and 5% and same-store NOI growth between 5% and 6%. Our operational priorities for 2018 are all about execution. First, continue to deliver strong operating results across our core portfolio. Second, execute operationally to further enhance the quality of service we provide to our residents. Third, execute on our integration plan to realize the value we indicated for residents, team members and shareholders. Fourth, recycle capital to continue increasing the quality of our portfolio. And fifth, continue to make meaningful progress on the path to an investment-grade balance sheet. Finally, we believe in the exceptional value of our assets today and well into the future. Single-family rental homes enjoy low resident turnover and provide stable and predictable cash flows. They represent the most liquid real estate asset class in the world and provide value to both investors as well as traditional homeowners. We believe our rent growth and home price appreciation could outperform other real estate classes for years to come due to the strong supply-demand fundamentals and long-term demographic trends. Within this uniquely compelling asset class, we have purchased and renovated homes in highly desirable infill neighborhoods of high-growth markets and built an industry-leading operating platform with unmatched scale and market density. Based on guidance provided to date by companies across the real estate universe, our projected 2018 NOI growth is more than twice the current REIT average. And that is before the full impact of expected NOI synergies from our merger. Margins continue to improve as we get better at our business. Core FFO growth is projected to be double digits for Invitation Homes and more than three times the current REIT average. We are more excited than ever about our ability to create value for our residents, our team members and our shareholders. And I thank each of our stakeholders for entrusting us to do just that. All of this makes us very proud of what we have accomplished so far, confident in our ability to deliver consistent, exceptional results and optimistic for the future success and value of Invitation Homes. So with that, our Chief Operating Officer, Charles Young, will now provide more detail on our strong operating results in the fourth quarter, full-year and the start to 2018. Charles?
Charles Young: Thank you, Fred. The fourth quarter of 2017 was another good quarter for us operationally, setting us up for continued strong growth in 2018. As the merger integration progresses on schedule, our field operations continue to run smoothly. Our teams are working well together, and we closed the year with strong results. That momentum has carried into the early stages of 2018. As Fred mentioned, fundamentals in our markets remained favorable, and our associates in the field are excited to leverage an even more scaled and efficient operating platform to deliver outstanding service to our loyal residents. I'll now walk you through details of our operating performance starting with the Invitation Homes same-store portfolio. In the fourth quarter of 017, same-store NOI grew 9.3% year-over-year and core NOI margin expanded to 66.1%. Same-store revenues grew 4.8% and same-store expenses declined 2.6%. The expense decline was driven by lower than expected real estate tax assessments and 7.4% lower controllable costs due to continued realization of savings on personnel costs and leasing and marketing costs, as well as lower repair and maintenance and turnover expense. I'll now turn to the legacy Starwood Waypoint same-store portfolio. Same-store core revenues grew 5.4% year-over-year in the fourth quarter. NOI grew 4.7%, a solid result considering two non-recurring items that resulted in higher than normal same-store core expense growth of 6.7% in the fourth quarter. First, the impact of our merger on real estate taxes due to California's Prop 13, which was a 50 basis point impact to NOI growth given our significant footprint in California. And second, a favorable real estate tax accrual adjustment in the fourth quarter of 2016 that impacted the year-over-year comparison. Looking at the more comparable full-year results, same-store NOI grew 6.4% in 2017 or 6.5% when adjusting for Prop 13. Core NOI margin expanded to 65.5% for the full-year 2017. One final note about expenses in the quarter, repair and maintenance and turn costs were slightly higher than normal due to the prioritization of hurricane work orders in September that pushed some expenses from the third quarter into the fourth quarter. As a result, core controllable expenses were 3.2% higher year-over-year in the fourth quarter. By contrast, core controllable expenses were down 2.1% for the full-year 2017. Next, I’ll cover leasing trends for the fourth quarter. Same-store rent growth remained strong, with renewals up almost 5% for both Invitation Homes and Starwood Waypoint. Renewals represented over 60% of the leases we executed in the fourth quarter. At the same time, turnover remained low and in line with the prior year. Same-store new lease growth was 1.6% for Invitation Homes and 0.9% for Starwood Waypoint in the fourth quarter, consistent with expectations in the seasonal trend we see each year. Blended rent growth was 3.6% and 3.3% for Invitation Homes and Starwood Waypoint respectively. We are also off to a great start in 2018. For the combined 2018 same-store portfolio, January renewal growth accelerated to 5.1%. January new lease rent growth was 1%, resulting in solid blended rent growth of 3.5%. Renewal notices for March and April have been quoted in the low 5% range, and leads on our resident website remains up materially versus the prior year. Before turning it over to Ernie, I would like to take a moment to say thank you to all of our team members and vendor partners in the field. Together, you provide our communities with more choices when it comes to housing and provide our thousands of residents with the opportunity to live the lifestyle they prefer in safe neighborhoods close to their jobs and great schools. And you have continued to innovate and enhance our property management operations to provide our residents with an even more outstanding level of care and service, resulting in high resident satisfaction. I'm proud of what we have accomplished so far, and I look forward to working with all of you to take our resident experience to the next level as the new Invitation Homes. I'll now turn the call over to our Chief Financial Officer, Ernie Freedman.
Ernest Freedman: Thank you, Charles. Today, I will cover the following topics: portfolio activity for the fourth quarter, balance sheet and capital markets activity, financial results for the fourth quarter and 2018 guidance. Total home count at the end of 2017 was 82,570 homes. Home count increased by 34,670 due to our merger with Starwood Waypoint. In addition, we continued to recycle capital in the fourth quarter, buying 290 homes for an estimated $80 million and selling 257 homes for $58 million. Our average acquisition basis was $278,000 versus our average disposition price of $225,000. I'll now turn to an update on our balance sheet and capital markets activity. As we communicated previously, both companies were committed to working toward investment-grade balance sheets prior to our merger, and that remains the case. Debt markets remain highly favorable for issuance, and we were able to take advantage with favorable pricing on two new securitizations that allowed us to refinance and extend maturities. In November, we closed the industry's first 7-year securitization loan with a principal amount of $865 million at a total cost of funds of LIBOR plus 150. We used net proceeds to repay in full two of our 2019 maturities. In February, we closed another 7-year securitization with a principal amount of $917 million at total cost of funds of LIBOR plus 124. We used net proceeds to repay in full all of our remaining 2019 secured debt maturities. As a result, we have pushed our nearest term maturity to the first quarter of 2020, with the exception of $230 million of convertible notes maturing in the third quarter of 2019. In addition, our November and February refinancings are expected to decrease interest expense by approximately $9 million annually and increased our unencumbered home pool by over 5,600 homes. Approximately 80% of our debt remains fixed or swapped to fixed rate. We also had over $1.1 billion of liquidity at year-end through a combination of unrestricted cash and undrawn capacity on our credit facility. I'll now touch briefly on our fourth quarter 2017 financial results. Core FFO and AFFO for the fourth quarter increased to $0.29 and $0.24 per share, respectively, each exceeding our expectations, due in large part to better-than-expected same-store NOI growth as well as the accretive impact of our merger. Included in our fourth quarter GAAP financials, but not included in core FFO and AFFO, is an incremental $5.5 million accrual for additional homes identified in the fourth quarter that experienced hurricane damage and revised repair estimates. Supplemental Schedule 1 provides a reconciliation from GAAP net loss to our reported FFO, core FFO and AFFO. The next thing I will cover is guidance for the full-year 2018. As Fred and Charles discussed, we believe that we continue to have strong fundamental tailwinds at our back. As such, we expect to grow same-store NOI by 5% to 6% in 2018, with same-store core revenue growth of 4% to 5% and same-store core expense growth of 2% to 3%. Full-year 2018 core FFO is expected to be $1.13 to $1.21 per share, up 13% at the midpoint from 2017. AFFO is expected to be $0.94 to $1.02 per share, up 12% at the midpoint from 2017. This forecast for continued strong growth prompted our board to increase our quarterly dividend 38% to $0.11 per share per quarter. The expected increases in core FFO and AFFO per share are primarily attributable to expected higher NOI, lower interest expense and synergy earn-in, as detailed on the bridge in the full year 2018 guidance section of our earnings release. In line with our initial expectations, we have identified $45 million to $50 million of total cost synergies, of which we expect to realize 75% on a run rate basis by the end of 2018. The majority of this synergies in 2018 and especially those impacting NOI, are expected to be realized later in the year after the implementation of an enhanced operating platform for our field and corporate teams that combines the best of both legacy organizations. As a result, we expect synergy realization to be more impactful to earnings growth in 2019 than in 2018. In 2018, we expect synergies to add $0.03 to $0.04 per share to core FFO and AFFO and for these synergies to be almost entirely related to property management and G&A. As of today, we have earned an approximately $20 million of synergies which includes $9 million of share-based compensation expense, mainly due to headcount synergies. Because there are some moving parts in the 2018 as a result of the merger, I'd like to call attention to a handful of modeling items. First, in 2018, we will no longer provide legacy Starwood Waypoint same-store results. In order to provide what we believe to be the most relevant indicator of comparable performance year-over-year, we have modified our definition of same-store to allow us to include homes that came to Invitation Homes through the merger. As of January 1, 2018, our same-store pool consisted of approximately 72,000 homes or 88% of our total portfolio. Second, while there are minor tweaks to accounting geography to marry the two companies' reporting practices, we do not expect the organization of our financial statements or the definitions of key non-GAAP measures like NOI to change materially from the way Invitation Homes has treated them historically. Third, we will incur a number of non-recurring costs related to our integration efforts in 2018, such as severance and retention, consulting fees and system migration costs. These costs will be recorded in GAAP G&A and property management expense and removed from core FFO and AFFO on the merger and transaction-related expenses line of our reconciliation, with the exception of severance expense, which will continue to be reflected on the severance expense line of our reconciliation. Fourth, the utility billing program that Starwood Waypoint used will be the model for Invitation Homes going forward. Residents will continue to be responsible for costs associated with their water and sewer usage and trash removal. Local providers will invoice Invitation Homes directly instead of our residents. For the next couple of years, this will result in a materially higher year-over-year utility expense in our financial statements as this rolls out across our portfolio as residents move out, offset by corresponding resident reimbursements. In presenting core revenue and core expenses results in our supplemental statements and for the basis of our guidance, we'll remove the impact of this gross-up. Before turning it over to Q&A, I'd like to reiterate how excited we are about 2018. We're off to a great start and our teams are working enthusiastically together to keep the momentum going and further solidify Invitation Homes as the preeminent leader in the single-family rental sector. With that, operator, would you please open up the line for questions?
Operator: [Operator Instructions] The first question is from Richard Hill of Morgan Stanley. Please go ahead.
Ronald Kamdem: Hey. This is Ronald Kamdem on for Richard Hill. First one, kind of going back to the new lease rent growth. Obviously, I appreciate that there's some seasonality in the 4Q and it's seasonally a little bit weaker. But I was just wondering if there's any color why there was, if I compare the 1.6% versus what you did in 4Q of the previous year, was there any additional color into why there may have been potential weakness there? That would be helpful.
Charles Young: Yes. This is Charles. Thanks for the question. I'll give you a couple of comments. As you mentioned, seasonality is definitely part of the new lease impact in Q4 and Q1. But we're always trying to balance rent growth – new lease rent growth and occupancy during those periods. And what I'd point out is the Invitation Homes portfolio actually gained 20 basis points in occupancy during the period. So if you listen back to the last call, there was actually a conscious effort to go into the quarter making sure that we're strong on occupancy and balance that out. The other thing I would say is, with the hurricanes that were out there, there's a little bit of hangover in terms of getting those homes back in line, a pause in some of the leasing efforts and days to re-resident increased. And we wanted to push the occupancy back up in the Florida markets. And that's really more of an impact, Florida specifically on the IH portfolio. On the SWAY side, a little bit of a similar experience, but we had a bit more turnover in the summer months, mostly driven by the expiration of the multiyear leases that had limited 3% bumps. And those extra 2,000 expirations pushed up our occupancy. And we were making sure we're catching up, so we gave up a little bit of new lease growth. So the topline results were good overall, but we were trying to balance off the occupancy, which is driving revenues overall.
Ronald Kamdem: Great. That’s helpful. And then just going back to, I think you provided some of the renewals and the new lease rent growth numbers for January and so forth, which is helpful. Second question really is, as you're looking at, thinking about kind of 1Q and kind of the rest of 2018, I was just curious if you can comment on the outlook for what the job growth versus rent growth and how that's going to be driving?
Charles Young: Yes, so overall, look what I'll say is as we look forward and we just talked about trying to drive our occupancy. What I'll talk about with our portfolio is today, January and February have been off to great starts. We're well occupied in most of our markets. We're exactly where we want to be. And what we're able to see now from even the January numbers I gave you is real acceleration of our renewal rent growth going into the end of the quarter here. And as we look into Q2, I could see what's happened in the past is those renewals – the new rent growth starts to catch and/or surpass renewal rent growth. As we talked about, we’ve been quoting north of 5, some markets close to 6 on renewals. So we’re seeing a lot of good momentum in the portfolio in the way we have it positioned today.
Frederick Tuomi: Yes, Ron. This is Fred. I would just add to that. On a macro level, you're right, job growth is a great indicator of future demand for housing units and, in particular, rental housing of all types. And if you look at how the U.S. economy is doing – has been doing recently and is doing now and predicted in the near-term future, the outlook is very positive. So there's a lot of stimulants to job growth. The headline numbers have been very favorable. The unemployment rate is near very low points historically. And all of that just creates more household formation, more mobility across the economy as people go to where those jobs are being created and just more wage growth, et cetera. And all of that are just great indicators for our business going forward. Especially looking at our market footprint, but we're in the high-growth markets, and these are the markets that are people are moving to versus from and where these jobs are being created. So we feel very confident that the fundamentals that we've enjoyed in the last couple of years will continue for the near-term future is just placed on the macro outlook, all things considered.
Ronald Kamdem: Great, my last question, if I may, would just be on leverage. Just if you can just walk us through, how you’re thinking about it. Obviously, you've talked about wanting to get to that investment-grade type balance sheet. Just understanding, is there – should we think about maybe reducing it by a turn over each year? Like how are you guys thinking about the leverage levels and getting to where you want to be?
Ernest Freedman: Sure. This is Ernie. Thanks for the question. First and foremost, we have a very safe balance sheet today, but we do want to progress to having a balance sheet that will garner investment-grade ratings sometime in the future. And we're committed to do it on that path by using cash flow from operations, the low dividend payout ratio, even with our increased dividend that we announced a little bit earlier this year, and use excess cash flow to help bring leverage down. And of course, we've got the great tailwinds of this best-in-class NOI growth and FFO growth that's expected for the single-family sector and what we provide out in the guidance. So through the growth of the bottom line as well as excess cash flow, we would expect to be able to bring our leverage – our net debt-to-EBITDA numbers down about a turn a year over the next period of time. And if there are other opportunities for us to find ways to accelerate that further, we'll certainly give that due consideration.
Ronald Kamdem: Great. Congrats on a great quarter. That’s all from me.
Charles Young: Thank you, Ron.
Frederick Tuomi: Thank you.
Operator: The next question is from Juan Sanabria of Bank of America Merrill Lynch. Please go ahead.
Juan Sanabria: Hi, thanks for the time. Just hoping you could talk a little bit about the integration process, kind of what the key benchmarks and timing of initiatives you guys have outlined or planned for that we should be looking out for. And more specifically on customer service, Starwood Waypoint had a lower customer rating than in INVH. And how do you hope to make that gap up between the two portfolios?
Frederick Tuomi: Well, thank you for the question. This is Fred. I’ll take the first part of it. As we mentioned in our prepared remarks, the integration is going very smoothly and according to plan. We feel very confident with the plan that we have in place. And now we're deep into the execution phase, which we've all been waiting for. As we mentioned when we first announced the merger, this is a very large undertaking, but we have the team, we have the experience, we have the resources to attack it properly. So we laid out the time line initially being about 18 months for merger close, which was November 16, 2017. And the first few months will be just the planning and enabling work, a few months after that more enabling work and setup and testing and then several months of the full deployment into the field operation. So we're right on track on that schedule. We hope to be able to accelerate it. But we're not going to be anxious to really speed this thing up. We want to do it right. Basically, we're going to measure twice or maybe measure three times and cut once. So this is a great opportunity to blend two large, successful productive companies that were pretty well stabilized, had some very – a lot of similarities, as we mentioned before. They're very almost identical in some aspects, but had unique features in others. So we're blending the best of the two companies. But then, we're not stopping there. We're also looking for new inventions, new innovations, new ways to create the best platform going forward, given 80,000 homes with a very dense market footprint, which we haven't had before. So we're inventing some new concepts along the way versus just putting the two together. We could have done it faster if we put the two together, but we want to build the ultimate platform for future growth and future functionality. So therefore, it's going to take us a little bit longer. But again, we're still right exactly on plan that we have laid out from the beginning. So more to report with each quarter, as Ernie mentioned in his remarks, and we indicated early on that the – most of the earn-in of the synergies that impact NOI versus G&A are going to come later this year and will be fully realized in the early part of 2019. And I'll let Charles talk about our customer service and resident loyalty initiatives.
Charles Young: Yes, great. Thanks Fred. So in terms of resident experience, as we're melding these two organizations, we see this as really another great opportunity to take the best of both firms in terms of process, technology people. Both firms were utilizing surveys to ensure high-quality and professional service. And we both continued to have and continue to have high customer service scores. However, as we all know, customer service is a journey, and we as a leadership team are committed to continue to build a resident-centric culture. The Invitation Homes vision is to continuously enhance the resident living experience, and our new scale will allow us to get to that vision quicker. We have many thousands of families in our homes. And now we can provide even more expanded housing options and choice. We're going to lean in heavily on the ProCare service and Proactive maintenance approach. We're increasing the level of self-performance with our in-house maintenance teams, the ability to utilize the home – the Smart Home technology. We're providing more options. And what's most important is the team out in the field, who I mentioned in my comments, we have our local teams, hundreds of associates in the markets that take great care and pride and provide high-quality service for our residents. So as we continue to survey and iterate and get better and take the best of all that Fred just talked about and building our platform, we see a great opportunity to just get better and better at the customer service culture we want to build.
Frederick Tuomi: Yes, Ron, this is Fred. I would just add to that is that we have literally thousands and thousands of completed surveys from our actual residents living in our homes. And most of these surveys are as a result of direct experiences with our maintenance teams in providing customer services upon their request. And 99.8% of those respondents rate us favorably, a rating of 3, 4 or 5 on a 1 to 5 scale. And our average between the two companies which was identical before and now combined, is a 4.3. So our real customers in the field getting real interactions with our real people on the ground, things are going extraordinarily well. So anybody that does not have a great experience, we're going to take seriously and we're committed to fix, but we're doing a good job now, and it will only get better.
Juan Sanabria: And just on the revenue side of the business, for lease optimization, that was a focus for Invitation Homes at that portfolio. Where are you? And is there any benefit that's accruing in 2018 in your guidance? Or is that – would that be a benefit over and above where your guidance is set out at?
Dallas Tanner: Yes. Juan, this is Dallas. In terms of the revenue management systems, both companies had really good systems in place that we're starting with from day one. As you're aware, on the INVH side, we've done some tweaking last year in terms of the lease expiration curve. And we're in a pretty good shape going into 2018 in terms of where expirations currently occur. Expect us to do a little bit more work in that regard. But we've got a little bit of tweaking to do, but it's really at the sub-market level, and just finding better ways to optimize and create better synergies across how the portfolio is going to behave in terms of those expiration counts.
Juan Sanabria: Okay. And last quick one for me on churn. Have you guys seen any pickup, we’ve seen some of the homeownership stats pop up particularly for the first homebuyers. Any signs there that that's filtering through to your business and may create higher expenses as a result of the churn?
Ernest Freedman: Juan, we're not seeing that today. Turnovers have been consistent year-over-year reason for move-out, the home purchases remains the top reason. But actually, on a year-over-year basis, it's down from where it was last year. Not enough to say I'd call it a trend. But it's held steady for the portfolio at about 25%, so we are not seeing any negative consequences from that.
Juan Sanabria: Thank you.
Operator: The next question is from Nick Joseph of Citi. Please go ahead.
Nicholas Joseph: Thanks. I appreciate the bridge from 2017 result to 2018. But if you take the fourth quarter core FFO, $0.29, and I recognize there's some seasonality and tax accruals involved in that, but it only includes kind of the partial impact from the SFR deal. It's missing some of the synergies that are expected to earn in through 2018 and the interest expense savings that you spoke about earlier. You get to $1.16 on an annualized basis. So just trying to understand kind of what's assumed in guidance kind of above and beyond the fourth quarter run rate.
Ernest Freedman: Sure. So Nick, you kind of laid out the reasons why you can’t take the $0.29 multiplied by four. Specifically in the fourth quarter, we had some good guys in real estate taxes on the Invitation Homes portfolio that added $0.01 to the $0.29. And that was because at the end of the day, we had over-accrued for real estate tax expectations in Florida and Georgia. Both of those jurisdictions don't send out their bills until November and December. And in hindsight, we were overly conservative as to where we thought those would come out. So $0.29 would actually be $0.28 in the fourth quarter if it weren't for that. You also have to take out another $0.01 to $0.015 because fourth quarter is always the highest margin quarter for us for two reasons. One, it's one of our lowest turnover quarters; and two, it's not HVAC season. HVAC season for the second quarter and the third quarter in turnover drives those margins higher. So take another $0.01 to $0.015 for that, you're really at a number for the fourth quarter that, if we were trying to annualize for run rate purposes, is closer to $0.26 to $0.026. And multiply that out, that gets you out to kind like a $1.06, $1.07, $1.08, that range. And then you have the things you see on our bridge that gets there. So a couple of favorable things have happened in the fourth quarter and the fourth quarter is always going to be seasonally one of our strongest quarters from a margin perspective.
Nicholas Joseph: Thanks. I appreciate that. And then you mentioned the additional upside from best practices, are there any assumed in guidance? And what would you expect the timing to be?
Ernest Freedman: Yes. I think with regard to the best practices, the things that we're starting to give some thought to are things not assumed in the guidance. And one – a good example would be around procurement. We are spending a lot of time working with some of our national vendors and regional vendors to see if we can lower our cost to obtain goods and services. And so we've talked about, and Fred mentioned, the NOI synergies that we're talking about are really baked into the second half of the year and towards the second half of the second half of the year around personnel synergies. The good news is with things like procurement, we can earn those in a little bit earlier if we get those contracts renegotiated. So we like – we're optimistic there's some upside that we provided and maybe some of that upside comes in a little bit earlier. But it's a little bit early in the year for us to change our thoughts and provide any further upside than what we provide at this point. But as we progress through the year, we're hopeful we'll have good news to report on that front.
Nicholas Joseph: Thanks. And just finally, for same-store revenue for 2018. I know it will be the combined portfolios for that 4% to 5%. Are you expecting any differences between the legacy SFR versus the legacy Invitation Homes portfolio?
Ernest Freedman: No, Nick, we're really running them as one portfolio, and they're right on top of each other. 83% of the homes, great concentration in the Western U.S. and Florida, the markets we want to be in. And so we haven't, Nick, prepared our budgets that way to say, well, how the legacy portfolio is looking nor are we trying to report it that way. But because the overlap is as much as it is, I think it's fair to assume that there would be very similar expectations.
Nicholas Joseph: Thanks.
Ernest Freedman: You got it.
Operator: The next question is from David Corak of B. Riley FBR. Please go ahead.
David Corak: Hey. Good morning, guys. Ernie, what sort of external growth is built into the FFO guidance? Maybe you can talk a little bit about kind of the go-forward strategy in general. And then, Dallas, if you can comment on what you're seeing in the market. If anything has kind of changed in your world in the past few months.
Ernest Freedman: Yes. I'm happy to address the first part of that, and I'll turn it over to Dallas for the second. In terms of what we're thinking for capital allocation more broadly, including external growth, we think it will be kind of a net neutral year for us. And you could probably see us buy a few hundred million to $0.5 billion – a few hundred million dollars worth of homes, and maybe a few hundred million to about $0.5 billion worth of sales on a net basis kind of gets you back to that same number. So that's where we're going to start out the year. But you know this team can be very opportunistic, and we look at every opportunity that comes up. And if the right opportunity pops up, you could see us pivot from that, like we did in 2017, when the two organizations came together. We think this will be more of a quieter year, where we can self-fund that capital allocation activity by selling – culling the portfolio and selling some of our weaker assets and using those proceeds to either delever or to buy better assets. And Dallas will have all the tools and the tool kit to do that. But on a net basis, that activity has very little impact to FFO and AFFO. They kind of cancel each other out from an accretion perspective.
Dallas Tanner: Yes, thanks, David for the question. I agree with everything that Ernie just laid out in terms of strategy going forward. Generally is, I think most people on the call understand the market is still really tight. We're seeing a lot of activity in the space from not only, call it, single-family rental companies, but there are a lot of end users that are still out there trying to buy homes. So generally speaking, if you look the markets that we’re in and one area of emphasis for us continues to be in higher barrier to entry sub-markets and parts of markets we're going to see outperformance in terms of growth. And so as you look at markets like Seattle, we've seen many of our sub-markets, 9% to 10% home price appreciation in the past year. We're seeing rent growth, as Charles laid out earlier in the call north of 6% and so we’re pretty bullish in terms of the fundamentals of the markets that we're in, but we recognize that it is still a little bit tight. So we have to – fortunately, we have people on the ground in our asset management investment teams, and so we're very local and we do get the opportunity to look at opportunities here and there in kind of a unique fashion. But generally speaking, the market is healthy, very tight, and we like the fundamentals of the markets that we're in.
David Corak: Are there any markets in the portfolio now that are kind of underperformers that you would expect to see a drastic improvement in 2018 or vice versa?
Dallas Tanner: Yes, I mean look, we’d love to see a little bit more growth out of our Midwest concentration. Generally speaking, we haven’t seen the home price appreciation or a lot of the rent growth that you want to see the market push away. We are seeing better gains in occupancy. And Charles and his team are doing a terrific job there. I think we are excited about some of the markets that came in because of the merger, markets like Denver, Dallas and Asheville all feel like they're very high-growth profile markets for the coming years. And so you could expect us to maybe at some point, once we get through the integration, some of those things, find ways to grow and expand those portfolios.
David Corak: Fair enough. And the last quick one for me just going back to the timing of the synergies and the fact that kind of back-end weighted, to some extent, and the NOI won't hit until 2019. Just given some of the moving pieces there, could you give us an actual dollar amount of NOI benefit that you would expect to see in 2019 versus 2018? I mean, we can kind of back into a range certainly, but just trying to get a sense of what OpEx looks like in 2019 versus 2018?
Ernest Freedman: Yes, sure, David, we've given our guidance that we expect synergies overall to be about $45 million to $50 million over the life as we roll these in. And about third of those are going to come from NOI, and very little of that is going to hit, really hit, really, on an actual basis in 2018. So you take a third of the roughly $48 million, the midpoint that I gave, that's about $16 million, and the majority of that is going to hit on a run rate basis in 2019. So I'd say $14 million to $15 million on the size of our same-store portfolio, that's about 150 bps of NOI growth for next year. Without providing that guidance, that's the math.
David Corak: Thanks a lot. All right, thanks guys.
Operator: The next question is from Jade Rahmani of KBW. Please go ahead.
Jade Rahmani: Thanks. Can you comment on what you anticipate for full-year same-store CapEx per property in 2018 and it looks like it's a negative $0.01 decrement to AFFO?
Ernest Freedman: Sure. We think our CapEx for the two portfolios run at slightly different levels. As we combine them. We think we'll get to a blend, Jade. So it will probably going to be – and I would guess, in the $1,200 to $1,400 per home range for CapEx. We think total cost to maintain is going to run kind of consistent to where they have with the two portfolios in they kind of mid-2s to the $2,800 type range. So that's cost to maintain, and that's where we think CapEx will be.
Jade Rahmani: And just from a broader perspective, what do see as the main challenges from a portfolio management point of view in terms of this larger, local and enterprise scale? Is it to do with juggling centralization, how much centralization to have across the organization or maintaining adequacy of staffing and capacity or is it really the data collection side, I guess, in terms of the challenges of managing a larger portfolio?
Frederick Tuomi: Well, thanks for the question. Yes, this is Fred. That's what we wrestle with every day and that's really with early in this business, it was undefined. And when I first started this business, gosh, it's been almost five years ago now. There was no road map. But over time, necessity is the mother of invention, and there was a lot of necessity back then. But I think we've struck a great balance now and we have designed our platform to achieve the right balance in terms of how do you operate a large-scale portfolio across multiple markets, but maintain consistency, maintain accuracy and timely reporting and all the things that you want when you're running a large-scale, long-term sustainable business. And that’s what our platform is designed for from the ground up. A lot of that didn't exist in the single-family rental space. We invented it. We created it. And now we're enjoying the benefits of it. But we'll always be continually innovating it and making it better. And this merger gives us a tremendous opportunity, a big leg up of running 80,000 homes in large concentration markets with 90% of our markets having – the average of 4,800 per market and 90% having 2,000 or more. So that gives us a great opportunity to continue to refine it, which we're doing. In terms of centralized versus decentralized, most of our control center is centralized, and we continue through this merger of identifying the best practices between the two companies. And in most cases, we're increasing the amount of administrative support and consistency and kind of defining the methodologies from a centralized basis. And then the people in the field are dedicated solely to customer interaction, the customer life cycle, that being attraction, acquisition onboarding and ongoing service. So they're focus on customer service and not have to be bothered with the administrative work that's being done by people in the central office.
Charles Young: And Jade, I just would add, I think that your question really, I look at it as the power and the benefit of the scale and the efficiency that we're able to create. As Fred mentioned, you get the best practices that we can use centrally to standardize. But locally, we have our teams on the ground to be able to give that great experience to our customers and our residents. But specifically, the overlap and efficiency of minimizing windshield time, being able to self-perform at higher levels and get to the homes and service the homes and create convenience for our residents is where the benefit comes from the larger scale. So we're trying to find our right balance between centralization and standardization as well as giving that high-touch experience on the ground.
Jade Rahmani: And just lastly in terms of maintenance work orders, what percentage are you targeting to perform with internal personnel?
Charles Young: Yes, with the combined portfolio, we think we'll be in the 50% to 60% range of self-performance with optimization and using technology, we hope to push to the higher end of that range. And then, we'll see where we go after we settle in. But that's around where Invitation Homes was before, and that's an increase from where the Starwood Waypoint portfolio was. So we see this as being a benefit overall.
Jade Rahmani: Thanks for taking the questions.
Frederick Tuomi: Thanks Jade.
Operator: The next question is from Dennis McGill of Zelman & Associates. Please go ahead.
Dennis McGill: Hi, thank you, guys. Ernie, first question on the revenue guidance, the 4% to 5%. How would you break that down between expectations around rent, occupancy and then the other income?
Ernest Freedman: Yes, sure. It's going to be, I think, somewhat similar to what you saw in 2017 with regards to what we're going to do for rental rate achievement on new and renewal leases, which for the portfolio was in the low 4s on a blended basis. And we expect it sort of to be similar there. We expect maybe a slight uptick in occupancy. And then you'll see other income growth start to slow down from where it's been in the past when you take out the noise from the utility reimbursement program that's being rolled out across both portfolios. And that's how you kind of get to a midpoint of about – our midpoint of 4.5% in our guidance range.
Dennis McGill: Okay. When I look at the markets across the two portfolios, most of them on the fourth quarter pricing power seem to be pretty well aligned. Two, so that would be Atlanta and Charlotte, I guess, that were stronger in the SFR side. What was the driver or what is the driver of the difference in performance in those two portfolios there?
Charles Young: Yes, So Atlanta, some of it is pricing between the portfolios, kind of the level. But today, they're both performing really well. I think you get some periods where a quarter will be up or down. But where we look at it today, and we combine them or add 96% in that portfolio puts us in great position going forward. The Charlotte portfolio, little bit of seasonality that happens we on the SFR side had more of the challenge as we were trying to scale that market and grow, half of our homes were purchased in 2017, and we're digesting that. When you put the two portfolios together, over 4,000 homes, it's now a very strong market and occupancy north of or right around 95% on the combined portfolio. So both of them, although they had a little bit of a slower Q4, as I said, January and February have been off to great starts, and both markets are looking really strong now.
Dennis McGill: Okay. And then in Atlanta, when you said pricing, did you mean different price points in Atlanta or just the price levels?
Charles Young: Yes. So as you take such a large portfolio and put it together, there are certain different demands on price points and how quickly you get there. When you put now the combined together, working with Dallas and his team to try to optimize that portfolio, we can really keep in and focus on the best of the best.
Dennis McGill: Okay. Got it. Ernie, on the expense guidance, can you may be just talk about the big buckets as far as what's plus or minus, that 2% to 3% range.
Ernest Freedman: Yes, sure. So really, the two buckets are real estate taxes and everything else. With real estate taxes, we expect those to go up 5% without the impact of Prop 13 on the homes that came over in the merger from Starwood Waypoint. Because we do have the Prop 13 adjustment, we actually expect real estate taxes in total to go up about 6.5% year-over-year. So Prop 13 by itself adds 150 bps to our real estate tax expectations. So on a base case, it's 5%. With Prop 13, it’s 6.5%. All the other expenses, Dennis, there's some ups and downs. But they're basically going to be flat or slightly down. And you blend that together based on the proportion of those expenses. That's how you get to the 2% to 3% range for operating expenses.
Dennis McGill: Well the Prop 13 adjustment be considered same-store or will you back that out?
Frederick Tuomi: So the Prop 13 will be in same-store, yes. It's a real economic item. And because we changed the definition of same-store to incorporate those homes, we'll keep – we'll be reporting it in those numbers. So that is contemplated in our overall guidance.
Dennis McGill: Okay. And then last question, can you just give us an update on all the homes that were damaged in the hurricanes and taken out of the pool? Where do we sit with those as far as vacancy and repairs and being able to generate revenue again?
Frederick Tuomi: Yes. So in terms of overall work orders, both portfolios are about 95% complete on and working through those. The SWAY portfolio, SFR portfolio, obviously had more of a – a larger number of high-damage homes with the flooding in Houston. There were about 115 to 130 homes that were in that. Most of those are coming back online this quarter. And so we're leasing those up in Houston as we speak. Houston is maintaining good occupancy, but we need to absorb those homes. It took a while with those homes because of the water damage. We had to let them dry out and then bring them back on. And they were larger repairs. But generally, we've worked through it. Some of the cost of that, as I have mentioned, has started to show up in Q4, and we'll get a little bit of that showing up in Q1 as well as we finalize. But the occupancy impact, we've pretty much rather gotten by, as we talked about it in Q4 and we are off to the races here in Q1.
Dennis McGill: So as you look forward, all of those homes that were taken out of use would either be leased or leasable here by the end of the quarter?
Frederick Tuomi: Yes. That will be put back in service. Whether we have them fully leased by the end of the quarter, we'll see where we are based on timing and when we get them. But most of the Houston homes are back. Specific numbers – they're coming back each week. And most of the hundred will be back in line this quarter and hopefully rented either this quarter or next.
Ernest Freedman: Dennis, as a reminder, we have business interruption insurance to help cover that and bridge that gap for us between while they're empty until they're leased.
Dennis McGill: Okay. Great. Thanks guys.
Operator: The next question is from Haendel St. Juste of Mizuho. Please go ahead.
Haendel St. Juste: Hey. Good morning, I guess. Couple of quick ones here. I guess, first, for you, Ernie, on the balance sheet, I appreciate the color earlier on your thinking. But curious how some of your thought process might be evolving here in light of rising rates, right? LIBOR is up 80 basis points year-over-year or so. You've got upcoming maturities. 20% of your debt is floating with low rates. You've got some hedges that are burning off going into 2019 or 2020. So I guess that I’m thinking – my question is, are you inclined to be a bit more aggressive this year in terms of the debt reduction beyond the organic EBITDA driven reduction you’ve outlined, while the wind is at your back, rates are low, your earnings growth is still outsized versus the sector? Or is that perhaps 2019, where you think you'll be more aggressive in starting that process of the refinancing, the deleveraging?
Ernest Freedman: Sure, Haendel. You said this was a quick one, we could spend many, many minutes talking about this. But at a high level, I’d say, we are going to be opportunistic. And we have taken care of all our 2019 maturities other than a convertible note that comes due in the middle of next year. But we have maturities coming up in 2020, and it would make sense for us to be opportunistic with those. And so we will consider during the year. We think it makes sense and we can lock in some good rates, whether it's through fixed rate financing or doing it through interest rate swaps, as we've done in the past. We want to take advantage of when the markets are open. And certainly, rates have gone up. But certainly, rates are historically low still relative to where they've been for many, many years, not as low as they've been in the last couple of years, of course. So just like Dallas will be on the acquisition side, we'll be opportunistic as we think about capital allocation. I'll be working very close with Jon Olsen and his team here. And we'll hit the markets when it makes sense for us, and we want to continue to lock in what are favorable rates even at today's higher rates for the longer term.
Haendel St. Juste: Are you more inclined to add more fixed? And what type of overall proportion are you currently thinking about in terms of fixed versus floating?
Ernest Freedman: Yes. In overall, I don’t focus so much on that, Haendel. I do focus on how much is fixed versus floating, but how we get there, whether it's through swaps or we get there through fixed rate financing as we decide what's the better course and what's more opportunistic and economically feasible. But we do want to maintain probably no more than about 20% of our debt exposures being floating. So you could certainly see us actually decrease that as we go through and potentially lock in some rates that maybe we get closer to 90% fix versus the 80% we are today. But we feel comfortable at 80%, but whether it’s using fix rate financing or it’s using swaps, there's pros and cons to both in terms of flexibility. And as we try to pivot our balance sheet from where it is today to one that will be investment-grade, we want to keep optionality and weigh economics against that.
Haendel St. Juste: Got it, and couple of quick ones for you, Charles. The insurance reserve during the quarter, up $5.5 million, I think I understand what's going on there. But maybe some color there and then when do you expect to get some of the recovery proceeds, the insurance recovery proceeds? Is that this year or next year? And will those be reported in or out of the same store?
Charles Young: I’m going to let Ernie to take this.
Ernest Freedman: Yes, Haendel, I'll handle that more from how the insurance will work. So the recent increase during the fourth quarter is that as we got out to additional homes, where we're doing our asset management work and as homes turned, it turned out there was damage from the storms that our residents had not reported to us, whether it was more minor damage or they just didn't think to do it. As we identified as homes, that drove the accrual up and we're building a cushion for that when we put our accruals in the third quarter. But in hindsight, we didn't build in enough cushion. And so that’s why you saw the increase related mainly to the Florida properties, not so much in Houston, but a little bit there, too, increase across the portfolio, about $4.5 million and we’ve built some contingency in there. So we hope that we need to come back for one more bite at the apple here in the first quarter, but we'll have to see as the next couple of months wrap up. In terms of actually collecting insurance proceeds it had – likely the earliest we’d collect insurance proceeds at the end of 2018. Some times these things should actually go even a little bit longer. But I would expect that most of it is cleared up by the end of this year. And with regards to whether that – it's really not – there's not a P&L impact for that, any casualty losses from an same-store perspective Haendel, any casualty losses we book below the line. And any recoveries we have we'll also book below the line. So you won’t see a positive nor negative impact to same-store from what we actually recover. And we expect the recoveries to be somewhat modest because almost all of the damage that was done was below deductible amounts.
Haendel St. Juste: Got it. Appreciate the color guys. Thank you.
Operator: The next question is from John Pawlowski of Green Street Advisors. Please go ahead.
John Pawlowski: Thanks. Fred or Ernie, I’m just curious when you sit down with the board and you set out to capital allocation and balance sheet plan for 2018. How did the sell-off in your share price in the broader REIT market since the fall impact the discussion? How that changed the plan at all?
Frederick Tuomi: Yes. Hey, John. Yes, thanks for the question. As Ernie mentioned previously, the capital allocation for 2018 and going forward, we take a long-term look at that. And the goals are to continue to enhance our quality of our portfolio through the right balance of acquisition, dispositions and ongoing revenue-enhancing CapEx. But we still see growth in our sector, and that's a key point. Regardless of the interest rate market or what share price might be doing at any given day on a short-term. We still see significant path of growth coming from this sector going forward for several years. So we want to capture that that growth. The best way to arm yourself versus uncertain environments on the macro is through growth. Second is to reduce the leverage. We continue to fortify our already strong balance sheet and our path towards investment grade. And then always, we're extremely opportunistic. We've been an active consolidator in this space so far, and in addition to the ground gating we have going every day, we'll continue to be open and flexible to large-scale opportunities as they come. And we have the balance sheet and the firepower to take advantage of those opportunities better than anyone else. And we have a powerful board. I mean, our board is comprised of some significant real estate successful people. They're forward thinking. They like to think big. And we're going to take advantage of our board to give us the proper guidance when needed. So in terms of here and now, the recent share price volatility is a factor, and we'll be talking a lot about that with our board, upcoming board meeting. But it’s a recent phenomenon. We have to look at these things over longer period of time. So we’re not going to take action just based on very recent type of volatility and share price, but we’ll look at those allocations of our capital available to us and look at all options with the board and make the best decision for our shareholders going forward.
John Pawlowski: Make sense. And then Fred, a repeal of Costa Hawkins seems very likely to make it to the voter's ballot this November. I know the apartment REITs are raising funds to battle the measure. Is Invitation Homes doing anything to try to get ahead of it, one? And two, if the state restrictions on rent control are lifted next year, how worried about pricing power in California are you?
Frederick Tuomi: Yes, the issue of rent controls, I’ve been in this business for 30 years and it does come up fairly frequently over time. And fortunately, we've been able to resist that that type of move which would be very unfortunate for not only the real estate markets, but I think for the residents of those states and for the people looking for high-quality, stable rental housing. But the real issue out there, as I'm sure you know, is really not rent control, it's supply of housing. And the fundamental issue is the legal systems of many of these states have significant roadblocks to housing supply that impacts in the time to deliver and, most importantly, the cost to build new housing. So we are going to focus our efforts on trying to educate the public and the legislators that we need to find more supply. We have to deliver more supply for people looking at housing as household formation continues to expand, and we need lower cost housing, more affordable housing of all types that need to be available in the market. But these things do come up from time to time. As you know, in California, the Costa Hawkins was the preemptive law across the state, prohibiting rent control, and that was put in place for a reason. They had the foresight to know that that's not a good solution to housing. And there was a bill, 1506, seeking to propose in legislation to repeal it. That bill failed to advance in assembly. And now there are some private groups trying to mobilize a ballot initiative, and they're gathering signatures as we speak. Something similar in the State of Washington, although that one is the preemptive law, the repeal of that died in committee. And then in Illinois, there's still one pending. So yes, the real estate industry is watching this and monitoring it. The rental business, meaning apartments, manufactured housing, senior, students and single-family, are all working together to monitor the situation and will be joined together to respond to the issue if it continues to grow.
John Pawlowski: Thanks. Obviously, you’ve in the rental housing industry for a while. In short, is this time different? How much more concerned are you this time around versus the last several times that this thing has come up?
Frederick Tuomi: Yes. It varies. Sometimes in the past, it wasn't much. It was just a few voices. Other times I can remember during the dot.com bubble, there were pretty loud voices on that and it was – seemed pretty imminent. This time, I think it is probably more similar to that, and maybe with a little more fervor and a little bit more – now with the Internet, the people to get their ideas, no matter what they are, good or bad, the ability to get them out in the public is enhanced. So there's just more of an intense marketing effort on both sides of the issue.
John Pawlowski: Thanks very much.
Operator: The next question is from Buck Horne of Raymond James. Please go ahead.
Buck Horne: Thanks. Good morning. Kind of a higher-level question. Just trying to think through some of the fundamentals here. Home prices in your markets are accelerating north of 6%, probably better than that. And in a lot of places, mortgage rates are rising right now. You're looking at going into the spring time with REIT sale inventory levels probably some of the lowest levels historically on record. So I mean, all those costs of ownership are going higher faster than rent levels that you guys are implying with your fiscal 2018. How do you think about pushing the envelope in terms of pricing this year and maybe accelerating your renewals or how do you think about that equation?
Frederick Tuomi: Yes, but – this is Fred. Long-term, a lot of the issues you just described are correct, and they're favorable for us. That's what gives us some of the tailwind. But you have to be careful just – you can’t just immediately start – stepping on the gas in terms of pricing. It's not that easy. We have to price our homes appropriately given the local markets, what's going on in each sub-market, supply, demand, pricing, competitors, et cetera. We can’t just unilaterally set pricing and expect to achieve, it’s a balance. It’s a balance of equilibrium between supply and demand, occupancy, future demand expectations et cetera. So we do the best job, I think, in the industry of monitoring that. We have sophisticated tools and platforms. We have educated people on the ground and at our central office, monitoring these things. And we make the – choose the right balance between rates and occupancy every single day as we prices our product. So home price appreciation continues to grow. It does that help us? Sure. But it's not an immediate. There's a lag factor to that. If the price of housing goes up over time, the price of all housing adjusts to follow, whether its ownership or rental. So generally, it's a more smooth long-term trend versus an immediate ability to just set a price.
Buck Horne: Okay, appreciate that added color there. Maybe one for Ernie, just I'm looking through some of the line items, and I just noticed, I guess in the Starwood same-store pool, some of the property management costs are still above the NOI line. So when you guys combine the new presentation for fiscal 2018, will any of those property management costs get reorganized either above or below the NOI line?
Ernest Freedman: Yes, Buck, they will. We're going to present as we've done in Invitation Homes historically going forward. So you'll see exactly that happen that we'll reclass of the 2017 number. So we have like-to-like results and then do same-store pool that we're pulling together, so there won't be any noise from differences like that.
Buck Horne: Got it, that’s helpful. Thank you.
Frederick Tuomi: All right, thanks. End of Q&A
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Fred Tuomi for closing remarks.
Frederick Tuomi: Great. Yes, I want to thank everybody for joining us here today. We appreciate your interest in Invitation Homes and we’ll see many of you at the upcoming conference season that progresses through the year. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.